Operator: Ladies and gentlemen, thank you for standing by. And welcome to the First Citizens Bancshares Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen only mode [Operator Instructions]. As a reminder, today's conference is being recorded.  I would now like to introduce the host of this call, Ms. Deanna Hart, Senior Vice President of Investor Relations. You may begin.
Deanna Hart: Good morning, everyone. Welcome to our third quarter earnings call. Our Chairman and Chief Executive Officer, Frank Holding; and Chief Financial Officer, Craig Nix, will provide third quarter business and financial updates today. During the call, we will reference our investor presentation, which you can find on our Web site. Our comments will include forward-looking statements, which are subject to risks and uncertainties that may cause our results to differ materially from expectations. We assume no obligation to update such statements. These risks are outlined for you on Page 3. We will also reference non-GAAP financial measures. Reconciliations of these measures against the most directly comparable GAAP measures are found in Section 5 of the presentation. Finally, First Citizens is not responsible for and does not edit nor guarantee the accuracy of earnings transcripts provided by third parties. I will now turn it over to Frank.
Frank Holding: Thank you, Deanna, and good morning, everyone. Starting on Page 5. Despite a volatile external market, we've delivered another solid quarter of financial results marked by strong revenue growth and disciplined expense management. Our focus continues to be on growing our core lines of business, maintaining our safety and stability through strong capital, credit and liquidity risk management and delivering long term tangible book value growth to our shareholders. This morning, we reported earnings per share of $55.92 excluding items noted in the presentation on Page 52. This exceeded our expectations and represented a 6% increase over the sequential quarter. Return metrics were also strong improving over the sequential quarter despite an increase in credit reserves and capital levels. These return metrics were supported by net interest margin that remained over 4% and an adjusted efficiency ratio of 46%. Deposits continued to be a huge focus for us during the quarter with period end deposits up 14% on an annualized basis or 3% sequentially. In addition to deposit growth, our commercial and general bank segments posted solid loan growth. Our liquidity and capital positions remain strong and stable, driven by our focus on core deposit gathering and a conservatively managed investment portfolio. We also remain focused on managing credit risk prudently. We did experience an increase in net charge offs this quarter with the majority of the charge offs related to investor dependent loans in the SVB portfolio. While we continue to monitor this portfolio closely, given some of the macroeconomic headwinds facing the innovation economy, we remain encouraged by the resiliency of our clients in the face of elevated inflation and rising interest rates. On Page 6, we continue to make great progress in integrating SVB and our initial stabilization efforts are complete. As a result of our continued focus on an outreach to our clients, we continue to see stabilization in loan and deposit balances during the quarter. We have materially completed our strategic assessment work. Currently, we are leveraging the insights from this work to identify opportunities to grow our market position in an innovation economy. Finally, we remain focused on regulatory readiness through our large bank program and a dedicated team of leaders and associates are ensuring we have a framework to meet heightened regulatory expectations and ensure sound business practices for large financial institutions. On Page 7, our strategic priorities have not changed and are included here for your reference. On Page 8, we provided tangible examples of supporting our clients in the innovation economy. We remain excited by the green shoots we're seeing as new and returning business comes to SVB six months post-acquisition. For example, during the third quarter, global fund banking originations increased by 18% compared to the sequential quarter and its pipeline has grown over 70%. We are committed to building on and investing in the SVB business to preserve long term client relationships and to generate new business with founders, entrepreneurs, innovation leaders and venture capital and private equity clients. During the quarter, our commitment was exemplified when we launched a nationwide Yes, SVB campaign to increase awareness that SVB is open for business and that we remain dedicated to supporting the innovation economy. We are also investing in new capabilities, including the rollout, the continued rollout of [SVB Go], an online digital banking platform to support our clients' needs by facilitating easier interactions, simple, secure and intuitive. The platform is designed for how our founders and innovation leaders run their businesses rather than how banks operate. Looking forward, we acknowledge the headwinds facing the innovation economy. The muted fundraising and investment pace coupled with limited exit opportunities continues to put pressure on innovation companies across all sectors and stages of development. This is resulting in some bulky charge offs, which Craig will speak to in more detail during his comments. Historically, 12 to 18 months into a down cycle VC investment reaches a floor after which valuations normalize and VC firms come back into the market. While US VC firms investment levels may continue to fall in the near term, we believe the long term outlook remains positive, primarily related to tailwinds that remain intact despite the most recent dislocation. The innovation economy is stronger than in past cycles as it grew two at 2.4 times the rate of the overall US economy between 2000 and 2021, and the COVID-19 pandemic has only accelerated digital adoption. Further, the innovation economy was 3.5 times larger in 2020 than in 2000. While we do not believe we are likely to see 2021 levels of valuation and investment for some time, if ever, we know that there is substantial dry powder waiting to be invested, which gives us confidence in the long term prospects of the innovation economy. Now turning to Page 9. We have exciting news in our wealth division. Since 2013 we've focused on our wealth management capabilities and have made significant progress growing organically. As a result, our private banking, brokerage and trust services have become a significant revenue source for us and we've recently expanded our reach beyond our legacy markets in the Carolinas, to California and the northeast. The SVB acquisition provided complementary expansion in terms of geographic distribution and accelerated entrance into attractive market we were already targeting. The opportunities extend beyond our footprint, however, we are focused on maintaining the great client relationship fostered by SVB private and deepening those relationships with our registered branch associates and digital platforms serving institutional, mass affluent and high net worth clients. Moving forward, we believe these complementary capabilities will accelerate the growth of our wealth franchise. We remain focused on executing against our core strategic priorities, which are the building blocks for long term sustainable value generation and are at the core of everything we do. I would like to thank all of our associates for their strong commitment to serving our customers, clients and communities. Thanks to you, I am confident we are well positioned to continue delivering strong results and long term value to our shareholders and stakeholders. In conclusion, I would like to address the recent tragic and horrible attacks inflicted on the innocent people in Israel. We are saddened by these events and wish for peace in the region and for the future security of everyone and especially our clients, associates and their families. I will now turn it over to Craig to provide an update on our third quarter financial results. Craig?
Craig Nix: Thank you, Frank, and thank all of you for joining us today. I am going to anchor my comments on our third quarter financial results to the takeaways outlined on Page 11. For your reference, Pages 12 through 32 provide more detail supporting those results. As Frank just said, our return metrics were once again strong in the third quarter. ROE and ROA adjusted for notable items were 16.77% and 1.55%, respectively, both exceeding our expectations. Our return metrics were supported by 1.5% sequential increase in net interest income and a 5.9% sequential decline in expenses. Net interest income performance was the result of increased accretion income as well as the impact of higher rates increasing our loan and investment at yield. The cost of deposits increased by 44 basis points over the prior quarter to 2.12%, representing a cycle-to-date data of 37%. Despite the rise in deposit costs, our quarterly NIM showed continued strength coming in at 407, down three basis points from the linked quarter but up 65 basis points from the same quarter a year ago. The modest decline in NIM during the quarter was driven by higher deposit balances as well as a higher rate paid on deposits and lower average loans, partially offset by higher yield on earning assets and the elimination of FHLB borrowings. With the sell off in the longer to intermediate part of the yield curve, we allocated $5 billion of our excess cash in the short duration US treasury and agency mortgage backed securities during the quarter to mitigate some of our sensitivity to falling rates. Given our excess cash position, we expect that to continue in the fourth quarter. We do not expect these purchases to have a material impact on baseline earnings as the investment rates are in line with interest we earn on cash reserves. Adjusted non-interest income increased modestly by 1% sequentially. Of note during the quarter was our real business, which turned in another strong quarter with utilization rates above 98% and positive repricing trends. We have a well diversified fleet with high capacity and efficiency, positioning our portfolio well for any future downturn in the economy. We're also focused on growing and expanding our fee based business in areas such as payments and wealth management as Frank alluded to just a moment ago. We have been working recently to expand SVB’s real time payment network, which will allow our clients to send and receive payments instantly. We are also working to offer instant settlement for merchants using payment facilitators and instant loan funding and disbursements, including early wage access. We are excited about the opportunity to accelerate SVB’s capability and billing payment functions and are happy to be in a position to invest in opportunities such as these. Adjusted non-interest expense declined by $71 million or by 5.9% sequentially over 85% of the reduction related to synergies arising from the SVB acquisition. We also saw declines in our marketing costs, which as you may recall from previous calls, had been primarily associated with growing deposits in the direct bank. We grew deposits in this channel by $6.4 billion during the quarter, while spending less in advertising with efficiency led by new clients from previous periods continuing to increase balances. Strong expense management and discipline will remain a significant focus for us moving forward. Putting all of this together, we achieved an adjusted efficiency ratio of 46%, which was an improvement of approximately 4% over the prior quarter. Our third quarter adjusted PPNR grew by 8.6% over the linked quarter, driven by the diversification and growth of our net revenue streams as well as disciplined expense management. Now moving to the balance sheet. Loans were up by $187 million over the second quarter. The general and commercial banking segments grew by approximately $1 billion each while the SVB segment experienced a decline of just under $2 billion. In the General Bank growth was concentrated in small business and commercial loans and our branch network. We were excited to continue to build long term customer relationships in the General Bank and are pleased to see our investments in digital, call center, and branch technology over the past several years payoff. Further, our product breadth has benefited from the CIT and SVB transactions providing us with better ability to fulfill products based on the preferences of our clients and customers. In the commercial bank segment, growth was driven by strong production in our industry verticals, including energy, healthcare and TMT, as well as seasonal increases in factoring as clients build out inventory ahead of the holiday season. While origination volumes remain strong in our industry verticals, they were down from the sequential quarter but the balance sheet benefited from a decline in prepayments. The decline in SVB segment lines was due to three major factors. First, approximately half of the decline was the result of the expected wind down of our foreign exposure. Recall that we did not purchase any foreign entities as part of the acquisition, so we have been in the process of exiting these markets. Second, lower new loan fundings as the private market investment landscape continues to face headwinds, resulting in a difficult exit environment, lower fundraising numbers and fewer deals. And third, expected repayments. While foreign exposure had a significant impact on our third quarter loan balances, we do not anticipate it being a meaningful issue going forward as the majority of the exposure has been unwound at this point. We are also encouraged by trends in the technology and healthcare banking business. This business saw client attrition early on as a result of the March crisis. However, we have been pleased to see both new and returning business come back to this group, resulting from the initiatives we have undertaken since the acquisition. Deposits increased by 5.1 billion over the linked quarter, driven by $6.4 billion of growth in our direct bank. The direct bank now accounts for 35 billion, 24% of our deposit base. While this channel is higher cost compared to the traditional branch network, 92% of the deposits are insured and the increase in imbalances allowed us to reduce our wholesale funding reliance as we were able to pay off more expensive FHLB debt in the third quarter. We are pleased that the deposit growth we have experienced allowed us to work our loan to deposit ratio down to 91% from almost 99% at the time of the acquisition.  Moving to credit quality. Our metrics remained within our risk appetite but we continued to see deterioration and a few portfolios that we are diligently monitoring to quickly identify and address problems that may arise. The non-accrual loan ratio decreased by 2 basis points to 0.68% with total non-accrual loans decreasing moderately to $899 million. The decrease was driven by net charge offs outpacing loans migrating into nonaccrual status during the quarter. The net charge off ratio increased by 6 basis points during the quarter to 53 basis points. Of the 176 million in net charge offs during the quarter, 100 million was in the SVB segment, of which 56 million was previously reserved. For the SVB segment net charge offs were concentrated in investor dependent loans with charge offs totaling 88 million in the third quarter compared to 49 million last quarter. At quarter end, this portfolio totaled $5.7 billion or 10% of SVB segment loans with 1.7 billion in early stage companies, the highest risk category, representing 3% of SVBs segment loans. We are carrying an ACL on the investor dependent portfolio of $250 million or 4.42% of total loans and a purchase accounting discount of 288 million or 5.09%, equating to 538 million or 9.51% loss absorbing capacity on these loans. Within the commercial bank segment, net charge offs were concentrated in the general office and small ticket equipment leasing portfolios. As we have been signaling for a number of quarters, we continue to see stress in our general office portfolio in the commercial bank, which totaled $1.1 billion at the end of the third quarter. This portfolio is concentrated in Class B repositioned bridge loans and is where we have seen deterioration in the past dues, criticized assets and charge-offs. We are carrying an ACL on these loans of 7.12% compared to 4% on the overall general office portfolio. We have completed target reviews across our business segments to assess credits and are remaining vigilant on our entire portfolio to identify areas of risk early on. We have historically performed well in challenging economic cycles due to our thoughtful approach to managing risk, measured underwriting practices, customer selection and long term relationship development. We believe our disciplined credit and risk management approach will continue to support us as we navigate the most recent economic cycle. Our ACL increased three basis point to 1.26%, driven by modest deterioration in the macroeconomic forecast and in the large balanced commercial real estate portfolio, which includes general office. These increases were partially offset by lower specific reserves and lower loan balances in the SVB segment. The ACL provided 2 points down coverage of annualized quarterly net charge-offs and covered non-accrual loans 1.9 times. Moving to capital. Our CET1 ratio decreased by 15 basis points sequentially ending the quarter at 13.23%, well above our internal target range of 9% to 10%. Strong earnings generation added 50 basis points of capital during the quarter, offset by a decline in the loss share benefit of 63 basis point. We continue to operate at capital levels well above our target ranges on all of our risk based capital ratios. Before closing with our fourth quarter outlook, I want to comment on pending regulation specifically around capital and long term debt. We continue to assess the proposed regulations and the potential impacts on our operations. As I mentioned on the last call, we have established a team whose mandate is to develop plans to ensure operational readiness for these regulations. Although we don't have the precise impacts to our capital ratios at this time, we do know capital requirements will increase. On the long term debt front, we expect we will need to raise between $8 billion and $11 billion to satisfy these requirements. While we have not traditionally leveraged the debt capital markets to raise funding, we believe our strong and stable capital and liquidity positions will allow us to be flexible as we enter the market in 2024. As we mentioned last quarter, we will continue to pause share repurchases and we will consider reinstating them when we submit our capital plan in 2024 and better understand the full impacts of these proposed regulations. I will close on Page 34 by discussing our fourth quarter outlook. We anticipate further declines in the Global Fund Banking business from lower levels of venture capital investments, lower capital deployment and the final stages of intentional rundown of select portfolios that were located internationally at the time of the merger. We also anticipate a modest decline in our tech and life sciences business as marketing activity continues to be depressed. As a result, we expect SVB loan balances to be in the mid $50 billion range by year end down from $57 billion at the end of the third quarter. We expect that SVB declines will largely be offset by mid single digit percentage growth in the General Bank segment driven by continued momentum in our branch network, as well as growth in our equipment finance line of business. Despite clients feeling pressure from the elevated rate environment, we still have great momentum in our branch network where we continue to emphasize full banking relationships. We have invested significantly in our equipment finance sales platform and those efforts are continuing to pay off with increased efficiency and balance sheet growth. We do expect slight loan declines this quarter in our industry verticals mainly related to timing and some of the larger loans in our pipeline pull through in the third quarter, and we expect some payoff to be pushed through to the fourth quarter. On deposits, we expect a low to mid single digit percentage point decline and the fourth quarter primarily related to a decline in SVB deposits. We had sizable deposit growth in the second and third quarters and we're able to retire more costly short term FHLB borrowings, which coupled with low expected loan growth reduces our need to raise deposit balances at the same rates we did during the last quarters. While we're encouraged by the stabilization of SVB deposits since April, we anticipate that SVB clients will continue to experience a level of cash burn that exceeds funds sourced from fundraising. It's worth noting that we expect broader market DC funding to remain subdued in the range of 30 billion to 35 billion for the fourth quarter of 2023, which is significantly down from prior years and in line with the muted activity we've seen throughout the first three quarters of 2023. Consequently, we're projecting an approximate $5 billion decline in SVB deposits in the fourth quarter. This estimate could be conservative as the SVB team is laser focused on obtaining and winning back balances, which could partially offset some natural runoff. Our interest rate forecast follows the implied forward curve. We forecast one more quarter point rate hike in the fourth quarter with the Fed funds rate ending the year at 5.75%. While we expect the absolute level of margin and net interest income to remain elevated, we do expect them to begin to decline in the coming quarters. We expect this to occur as the accretion from some of the shorter portfolios we acquired, such as global fund banking, fully accrete and we experience continued pressure on deposit pricing. The impact of lower accretion and higher deposit costs will be partially offset by higher loan and investment yields. We anticipate our full cycle beta increasing to approximately 43%, up from our previous estimate of 39%, primarily due to the higher absolute betas at this point in the rate cycle, as well as the strong growth we've experienced in the direct bank. On adjusted non-interest income, after a strong third quarter, we see a slight retreat to the $430 million to $450 million range, primarily due to the lagged impact of lower SVB off balance sheet funds and less overall innovation economy market activity leading to lower client investment fees, international fees and other service charges, as well as slightly lower net rental total income on operating leases due to higher expected maintenance expense in the fourth quarter. We expect continued growth in our wealth and emergency income lines of business. On adjusted non-interest expense, we expect to be flat to slightly down compared to the third quarter. Continued acquisition synergies will be partially offset by slightly higher expected consulting and project costs related to strategic priorities, as well as our continued investment in large bank programs and initiatives. Some of these professional consulting and project costs were lower in the second and third quarters as we assessed and reprioritized areas of focus heading into 2024. We anticipate by year end that we will be more than halfway to our 25% to 30% synergies goal on SVB's $2.6 billion pre-merger expense base. We anticipate materially all synergies to be reflected in the run rate by the end of 2024. It's worth noting, we do expect a 1 time $30 million FDIC assessment to be recognized in the fourth quarter, but will be paid out over eight quarters, which is not included in the adjusted total. The timing of this will be dependent upon when the rule is finalized, meaning it could potentially move into 2024. We expect annualized net charge offs in the range of 50 to 60 basis points in the fourth quarter, at or above the level we saw in the third quarter. This would bring the full year net charge off ratio to the mid 40 basis points range. This is an upward revision to our previous estimate and is primarily the result of higher than expected charge offs in our investor dependent general office CRE in the commercial bank and small ticket equipment leasing portfolios. In closing, we are aware that we're in a time of change and dislocation in the banking industry. We believe we are well positioned to successfully navigate macroeconomic headwinds as well as the changing regulatory landscape just as we have done so many times before. These changes present us with opportunities and we are committed to serving our clients through all market conditions while continuing to deliver long term value to our shareholders. Our solid capital and liquidity levels not only position us well for changes resulting from the proposed changes and regulatory requirements but also provide us flexibility to be proactive instead of reactive during this uncertain backdrop. We are confident in the long term outlook for our business. Our business flows are good and our risk management practices are strong. We are focused on maintaining expense discipline while continuing to invest in the future. We have an established track record of successful integration efforts, which we look forward to continuing with SVB. I will now turn it over to the operator for instructions for the question-and-answer portion of the call.
Operator: [Operator Instructions] Our first question today goes to Stephen Scouten of Piper Sandler.
Stephen Scouten: Craig, you gave some really good color, and Frank, you gave some good anecdotal thoughts around the SVB stabilization, but I am wondering how you guys think about that into 2024. Do you think we can start to see outright stability there as opposed to just the decline in the runoff, and how do you think about that book of business as we look into next year?
Craig Nix: Mark, would you weigh in on that, please?
Unidentified Company Representative: Certainly. This is a this is Mark [indiscernible]. And noting that we have not provided any preliminary guidance for 2024 in this call, they are I think reflective of the stabilization that you see. The hope, right, that that turns the corner in '24, at the same time, we need to recognize that we are still going through evaluation reset that Frank alluded to, and we expect that, that could continue into 2024 and continue to be a headwind. And so again, that's probably, in part, why we are not providing preliminary guidance yet beyond the fourth quarter. And so I will stop there and I hope that was responsive.
Stephen Scouten: And then you guys noted the elevated charge-off some of the small ticket leasing office, and appreciate all the detail around the reserves related to the SVB portfolio. But as you look forward, do you see things worsening at all or is it more -- I know you noted macroeconomic trends changing when you are CECL modeling. How is how's that going to potentially drive reserves moving forward into CECL today?
Craig Nix: I think right now, we consider ourselves to be adequately reserved and actually our reserves are very strong on all three of those areas when you look at general office and particularly in the commercial bank, you look at the equipment finance and then you look at the innovation loans, the investor dependent loans, we feel like our reserves are strong there. We are close to 2 times covered if you look at those in the aggregate. So we we believe our reserves are strong. But we do think for a couple of quarters out that charge-offs will remain a little bit elevated in those areas. Andy, I don't know if you have anything you would like to add to any of that or Randy.
Andy Giangrave: No, I think that's right. Certainly, we will continue to work through the office portfolio and that's going to take some time throughout 2024. And we would hope to see some improvement in the equipment finance portfolio. But to Craig's point, we will continue to see elevated charge-offs into 2024.
Craig Nix: And that's why you see us raising our net charge-off guidance to 50 to 60 from 35 to 45.
Operator: And the next question goes to Brady Gailey of KBW.
Brady Gailey: I wanted to start with the possible share buyback in 2024. I know you mentioned you need to wait and submit your 2024 capital plan. Just remind us of the timing of that? I think in prior years that's been around July.
Frank Holding: Yes, if we -- we certainly will consider a share repurchase plan as part of our capital plan in 2024 and if that should be included and approved, it would commence in the second half of 2024 consistent with prior plans.
Brady Gailey: And then on the NII guidance, it's down around 7% linked quarters, so that would suggest there's some NIM decline as well in the fourth quarter. Is that more a function of accretable yield declining, which I think you hinted at a couple minutes ago, or is that more a function of the core net interest margin declining, or is it a little bit of both…
Frank Holding: Yes, if you isolate it, ex accretion in the fourth quarter, we expect NIM to decline by 1 basis point. So we have some stabilization there. With accretion we're expecting it to decline by 19 basis points. So it is an accretion issue, both on net interest income in dollars and on the margin.
Brady Gailey: And then, I appreciate the 4Q expense guidance. Feels like you're going to get more cost saves out of [SVB] as we look into 2024. So how do you think about expenses next year? I mean, you'll have some cost saves, so you'll also have some legacy expense creep. Like could you potentially keep expenses flattish next year?
Frank Holding: Right now, we're not providing 2024 guidance, but just directly, I think, flattish to low single digits percentage increase going into ‘24.
Operator: And the next question goes to Steven Alexopoulos of JP Morgan.
Steven Alexopoulos: To start on the SVB side and regarding the new campaign, the [SSVB]. So what's the feedback so far from customers, and could you address that maybe from the VC side, what you're hearing from VC firms then what you're hearing from the startups? And is this yet translating into you guys seeing net new operating account growth at the account level, not the balance level?
Frank Holding: Mark, I'm going to let you handle that one. I know we have picked up some new clients.
Unidentified Company Representative: We have indeed. Steve, good morning, it's Mark. And we had, in the quarter, I believe the stat was 600 plus new clients, which means starting with one solution or another and then I believe we're almost up to 50 new in the last couple quarters that what I would call broad based new wins, including their operating accounts operating business. So I think going back to your original point, the ad campaign but as much or more so, the very laser focused calling effort, reactivation effort, calling on new clients, et cetera, we think is ultimately turning around that perception that there's a void and very much reinforcing that SVB is here and open for business. And again, I think, part of your question was about feedback. And overall, the feedback including the ad campaign has been really very positive on the whole. And so I'll stop there.
Steven Alexopoulos: Mark, I saw the news of Jennifer Goldstein rejoining the company. Congrats on that. She's a superstar in LifeSciences and healthcare space. But is that a one offer you guys starting to see former SVB employees re-engaging to come back to the company?
Frank Holding: So I'll start on that, others may wish to comment. Jennifer was certainly a very high profile rehire, recognizing she was coming back from the SVB capital entity. And having said that, not the only former SVB-er to rejoin with the key point there being that, I believe the others that we've had in the new hire mix were SVB-ers legacy SVB-ers that had departed several years ago as opposed to since the events of March. And so that too is encouraging to see some of our former colleagues look at what we have going on here so far in our first two quarters of togetherness and vote where their feet to come join us, again, Jennifer being the most high profile of those, which we are so excited to see her return.
Steven Alexopoulos: And Craig, maybe just one follow-up in your response to the question on expenses, maybe flat to low single digit increase for 2024. So how should we think about the efficiency ratio wherever you guys end up in the fourth quarter. Do you see that improving fairly materially in 2024?
Craig Nix: Well, what's going to happen is the accretion is going to offset some of the decrease or stabilization in expense. So what I would say in the fourth quarter you might see it matriculate up to the high 40s, low 50s, and then next year, I think, you'd see it in that same range per quarter. So I would think high 40s, low 50s for the next five quarters, and that's really a function of just declining accretion income outpacing the expenses. We're really satisfied with efficiency ratio in the low 50 to high 40.
Operator: And the next question goes to Christopher Marinac of I2BBA.
Christopher Marinac: I wanted to ask a question about being able to raise your loan yields related to deposit balances, and if they were to sort of go below certain levels. Are you able to do that or is there still more push on loan yields as we move into the next few quarters?
Craig Nix: Is your question around the yield or the balances? You're saying push on loan yields. I mean, we continue to price loans in excess of where we're pricing deposits. And are you talking about spreads?
Christopher Marinac: Well, Craig, I'm talking more about, I guess, in your loan contracts with new loans that -- my impression is that there's the ability to kind of push yields higher if compensating balances go below certain levels. It's sort of a enforcement to get more deposits but also kind of have better pricing if customers start to pull funds.
Craig Nix: I think what you're referring to is on the SVB side, and we have not pushed any on deposits to come back and to push those loan yields higher. I think, in general, there is obviously opportunities, it’s that market rates can continue to increase, so we price loans higher. The main opportunity for us right now is obviously in the fixed rate loan book where we reprice approximately 20%, 25% a year up on an ongoing basis, and we expect to continue to see that momentum going into next year.
Christopher Marinac: And then any other general thoughts about kind of where your adversely rated credits may go next year, would you think that they’d change and deteriorate or would you see them kind of stable from here?
Unidentified Company Representative: That's not termed in the adversely classified loans, however we expect that to go next year. So obviously with the inflation pressures and elevated interest rates, we are seeing migration. We would continue to see that to some degree. And obviously, the areas that are most challenged are the ones Craig is referenced, which is certainly office and the small ticket equipment finance.
Operator: [Operator Instructions] And our next question goes to Brian Foran of Autonomous.
Brian Foran: I just wanted to clarify on the expenses recognizing it's not like a formal '24 guide, but just to make sure I am using the right base. When you say flat to low single digit as potentially an outcome, is that relative the full year at $4.12 billion to $4.15 billion or is that relative to 4Q annualized, which I guess would be about $4.5 billion?
Frank Holding: Brian, the way I am looking at it since we were not merged in the first quarter, I am comparing the three quarters of '23 to the three quarters of '24 where we are comparable, and that's what I am saying is flat to low single digits up.
Brian Foran: So the nine months where the two companies are together…
Frank Holding: Obviously, if you looked year-over-year, we're going to be up because the first quarter SVB we weren't merged. So you are going to see -- you could see a double digits percentage increase year-over-year given the first quarter.
Brian Foran: I initially plugged in relative to the full year and had you guys making like $250 per share and maybe got a little too excited. So I appreciate the clarification. That was it.
Operator: And our next question goes to Brody Preston of UBS.
Brody Preston: I wanted to start just maybe on credit. I just wanted to better understand the charge-offs within the SVB book. I think last quarter you had one that you had called out and then you had a couple others that you kind of cleaned up. These seem to be clustered in the innovation portfolio. I guess I wanted to ask was this more of a cleanup quarter as well? And I say that just because the charge off rate on that portfolio seems to be or this quarter at least was running close to what SVB experienced back during the GFC. So I just assumed that there was some cleanup charge offs there that you had marks again.
Frank Holding: No, I wouldn't characterize it that way. Again, approximately 56 million of the 100 was reserved for, so we did anticipate the charge offs. They were just -- we guided the 35 to 45, charge offs came in higher than we expected at 53 basis points for the quarter. But I would not characterize it as this was a cleanup quarter or that last quarter was. I think we expect the charge offs to remain elevated at least through the first half of next year and consistent with these numbers and then we'll see what happens in the second half. Again, we're not giving guidance today going forward. But no I would not characterize it as a cleanup..
Brody Preston: Do you happen to know what the mark you have against the innovation book is?
Frank Holding: We have a four -- we have -- our allowance on the innovation portfolio is 4.42%. We also have a purchase accounting discount of 5.09%. So that's a 9.51% loss absorbing capacity, which gives us 2.1 times coverage on that portfolio, which we believe is conservative and strong.
Brody Preston: And then I just wanted to ask one last one on the non-interest bearing deposit trends. It looked like that this should be -- the book started to stabilize a bit but still came down, but the NIBs were quite a bit stronger than I guess I would've originally thought just relative to the guidance you'd given before. So I wanted to ask, was there good NIB growth -- was there NIB growth in the commercial or the consumer banks at all that kind of helped offset some of the cash flow -- the cash outflows from the [SVB] client base?
Frank Holding: Well, if you look just from last quarter, non-interest bearing deposits actually declined but they did not decline at the rate we anticipated. So we did have a decline in those from -- and it was about $1.4 billion. But we had projected a decline that was a little larger, so that's why we would've -- we might have come up with a lower mix of non-interest bearing to total deposits. And we did drop from 30% to 28% in the quarter, 32% to 30% we expect to drop to that 28% in the fourth quarter if our deposit projections hold.
Brody Preston: And do you think that 28% is getting close to a bottom?
Frank Holding: I think we have -- there's more room for it to fall given that especially if rates are higher for longer potentially into the mid 20s. Tom, you want to emphasize that?
Tom Eklund: I was just going to mention, I mean, obviously, it's a priority as we go to market to gather these non-interest bearing deposits. I think as you look at the third quarter and in the core bank with actually really strong, if you sort of neutralize for the impact you typically see as corporates make cash tax payments in September. So overall, I think the underlying trends look pretty good.
Operator: Thank you. I'm not showing any further questions at this time. I'd like to turn the call back over to our host, Deanna Hart, for any closing remarks.
Deanna Hart: Thank you. And thank everyone for joining our quarterly earnings call today. We appreciate your ongoing interest in our company. And if you have further questions or need additional information, please feel free to reach out to the Investor Relations team through our Web site. We hope you have a great day.
Operator: Ladies and gentlemen, this includes today's conference call. You may now disconnect. Have a wonderful day.